Operator: Good day and welcome to the Asbury Automotive Group Q2 2021 Earnings Conference Call. Today's conference is being recorded. At this time I'd like to turn the conference over to Karen Reid, Vice President and Treasurer. Please go ahead.
Karen Reid: Thanks, operator and good morning everyone. As she noted, today's call is being recorded and will be available for replay later this afternoon. Welcome to Asbury Automotive Group's second quarter 2021 earnings call. The press release detailing Asbury's second quarter results was issued earlier this morning and it's posted on our website at asburyauto.com. Participating with me today are David Hult, our President and Chief Executive Officer; and Dan Clara, our Senior Vice President of Operations. At the conclusion of our remarks, we will open up the call for questions and I will be available later for any follow-up questions that you may have. Before we begin, we must remind you that the discussion during the call today is likely to contain forward-looking statements. Forward-looking statements or statements other than those which are historical in nature, including those statements relating to the duration and contemplated impact of the COVID-19 pandemic, on our business and financial performance, the impact of the chip shortage, as well as the financial projections and expectations about our products, markets and growth. All forward-looking statements are subject to significant uncertainties, and actual results may differ materially from those suggested by the statement, including potential impacts from the COVID-19 pandemic and the semiconductor chip shortage on us, our industry and our customers, suppliers, vendors and business partners. For information regarding certain other risks that may cause actual results to differ, please see our filings with the SEC from time to time, including our Form 10-K for the year ended December 2020, any subsequently filed quarterly reports on Form 10-Q and our earnings release issued earlier today, we expressly disclaim any responsibility to update forward-looking statements. In addition, certain non-GAAP financial measures as defined under SEC rules may be discussed on this call. As required by applicable SEC rules, we provide reconciliations of any such non-GAAP financial measures to the most directly comparable GAAP measures on our website. We've also posted an updated Investor presentation on our website, asburyauto.com highlighting our second quarter results. It is now my pleasure to hand the call over to our CEO David Hult. David?
David Hult: Thank you, Karen, and good morning, everyone. Welcome to our second quarter earnings call. In our earnings release this morning, we've reported adjusted EPS of $7.78, an all-time record, up 209% over the prior year. SAAR continues to recover from prior year lows despite supply disruptions due to the chip shortage. This strong execution in the face of a challenging macro environment enabled us to deliver a strong gross margin of 19.2%, an expansion of 240 basis points versus the second quarter last year. We have also stayed disciplined in managing expenses, resulting in SG&A as a percentage of gross profit of 54.2% and 850 basis point improvement versus prior year. Our total revenue for the quarter was up 79% year-over-year, and total gross profit was up 105%. Our balance sheet remains strong due to our performance in cash flow. Our net leverage ended this quarter at 1.6 times. We are in a perfect position to deploy capital and are aggressively pursuing opportunities for growth. A quick update on our strategic five year plan, as we announced six months since. Same-store revenue growth, assuming 2020 annualized revenue for Park Place is up double digits and is exceeding expectations. Regarding Clicklane, our unit sales are pacing ahead of our plan. Regarding acquisitions, we have about $400 million in revenue under LOI right now. We are also reviewing other opportunities totaling over $8 billion in revenue. We are confident in our goal of $5 billion in revenue over the next five years. With these trending results, we maintain full confidence in our execution on our growth strategy. We will continue to provide quarterly updates on our five year plan. Finally, I'd like to thank all the hard working men and women in our company, who are focused on our journey to become the most guest centric retail automotive company. Their passion to serve is inspiring. Thank you. I will now hand the call over to Dan to discuss our operating performance, Dan?
Dan Clara: Thank you, David, and good morning everyone. My remarks will pertain to our same-store performance compared to the second quarter of 2020 and comparable stores in 2019 when applicable, unless stated otherwise. Looking at new vehicles, based on current market conditions, we are focused on being opportunistic with our inventory, and improving gross to maximize profit. Our near average gross profit per vehicle was $3,496 up $1,599 or 84% from the prior year period. All segment margins were up significantly from the prior year period. At the end of June, our total new vehicle inventory was $226 million, and our day supply was at an all-time low, of 17 days, down 35 days from the prior year. Some of our stores were at five days' supply during the quarter, as we experienced major challenges due to the lack of inventory. With no clear understanding of when production will return to normal levels, we expect that day supply to remain low throughout the remainder of the year, Turning to used vehicles. Our used retail volume increased 29% while gross margin was 10%, up 230 basis points from the prior year, representing an average gross profit per vehicle of $2,635. As a result of our performance, our gross profit was up 96%. Our used vehicle inventory ended the quarter of $286 million, which represents 37 days' supply, up 11 days from the prior year. We remain focused on sourcing inventory that will generate a fair return. Turning to F&I, our strong, consistent and sustainable growth in F&I delivered an increase of $160 to $1,898 per vehicle retail from the prior year quarter. In the second quarter, our front-end yield per vehicle increased $1,448 per vehicle to an all-time record of $5,004. Turning to parts and service. Our parts and service revenue increased 41% in the quarter, gross profit increased 48% and total fix margin was 62.3% up 300 basis points. I would like to make a couple of additional comments about our performance compared to the second quarter of 2019 on a comparable store basis. New unit sales were up 11%, new vehicle gross profit was up 172%, used retail unit sales were up 10%, used retail gross profit was up 88%, F&I per vehicle retail increased $261 or 18%. Front-end yield per vehicle retailed increased $1,831 or 64%. Parts and service customer pay revenue and gross profit increased 9%. And now, I would like to provide an update on our omnichannel initiatives. In 2016, we started focusing strategically on several omnichannel initiatives. One of those initiatives is to increase organic website traffic. Through our sophisticated digital marketing efforts since Q2 2016, our organic traffic of unique visitors to our dealership websites has increased by over 6 million consumers, an increase of over 5,000%. Another initiative is to increase online service appointments. We achieved bookings of over 142,000 online service appointments, an increase of over 400% in Q2 2016, and an all-time record. This component positively impacts service retention and increases the dollars per repair order. And of course, Clicklane, the latest evolution in our omnichannel strategy which was fully active at all of our dealerships for the complete quarter. Before I go over the Clicklane metrics, I want to remind you of the unique features of Clicklane, as well as highlight our recent enhancements, as we are constantly evolving the tool to provide our guests with a seamless and complete buying experience and strengthening that relationship. Penny perfect loan payoffs, a loan marketplace which now includes more than 35 lenders, on average, 9 out of 10 customers that apply for a loan are approved through Clicklane. The ability to sign all documents online via DocuSign, with 14 of our lenders now accepting documents executed via DocuSign. In-tool service and collision appointment scheduler, with ability to purchase parts and accessories with in-tool as well. We've recently partner with Salty to deliver transparency and convenience by providing a one-stop shopping experience for our guests to include their car insurance needs. Salty is an embedded ecosystem for our consumers that provide competitive personalized insurance quotes from over a dozen large national carriers. Clicklane guests benefit from an intuitive platform that retrieves a competitive quote from major carriers and provides a custom build policy tailored towards the consumers wants in needs Asbury customers spend over $350 million in insurance every year. Through our partnership with Salty, we receive a commission on the premium of each auto insurance policy, as well as any additional policies that the guest originates. We also partnered with Insignia to enhance our accessories tool and to enable visualization within Clicklane. Asbury customers often looked at third-parties to offset their vehicles after the point of purchase. These new integration allows customers to add accessories in the back end of their Clicklane account. This enhancement allows customers to fully visualize accessories on their vehicle of their choice in real time. Now, with a full quarter at all stores under our belt, we would like to share some performance metrics. Of our vehicle sold through Clicklane 54% of them were new vehicles and 46% were used. As a reminder, with push start 80% of our sales were used vehicles. We expect annualized volume through Clicklane of at least 30,000 vehicles by year end. 93% of our transactions this quarter were with customers that were new to Asbury's dealership network. Average transaction time is eight minutes for cash deals and 14 minutes for finance deals. Average down payment for new vehicles is $10,252, more than four times our store average of $2,242. Average down payment for used vehicles is $4,716, more than double our store average of $2,078. F&I PVR of $2,066, 64% of new car customers and 68% of used car customers chose to take delivery at home, an increase of over 15% from the first quarter. Average credit score is higher than the average credit score at our stores. Trades taken through Clicklane are averaging the front-end PVR of $2,392. Trades taken through Clicklane are turning on average in 19 days. As expected, Clicklane customers are converting a greater rates than traditional internet leads. Not surprisingly, we are quite excited about the performance of Clicklane thus far as it is striking ahead of targets. And finally, I would like to take this opportunity to express appreciation to all of our teammates in the field for their continued focus on the guest experience, their commitment to continuous improvement and their perseverance. I will now hand the call over to Karen to discuss our financial performance. Karen?
Karen Reid: Thank you, Dan. I would like to provide some financial highlights, which marked yet another record quarter for our company. For additional details on our financial performance for the quarter, I refer you to our financial supplement in our press release dated today, July 27 2021. Overall compared to the second quarter of last year, our actions to manage gross profit and control expenses resulted in the second quarter adjusted operating margin of 8.4%, an increase of 280 basis points above the same period last year and an all-time record. And adjusted net income increased 211% to $151.7 million, displaying our resilience through these interesting times. For comparison to our pre COVID performance, thus compared to the second quarter of 2019 for all stores, our total revenue was up 43%, total gross profit was up 69% and total gross margin was up 280 basis points. New unit sales were up 20%, while used retail unit sales were up 21%, new margins improved 510 basis points, while used retail margins improved 260 basis points. Total F&I revenue was up 33%, total parts and service revenue was up 30%. Our SG&A as a percentage of gross profit improved 1,380 basis points, and our adjusted operating margin improved 370 basis points. Now back to current results. Net income for the second quarter of 2021 was adjusted for real estate net gains of $0.5 million or $0.02 per diluted share. Net income for the second quarter 2020 was adjusted for $1.2 million or $0.05 per diluted share of legal settlement gain. Our effective tax rate was 24.7% for the second quarter 2021 compared to 25.2% in 2020. Floorplan interest expense for the quarter decreased by $2 million over the prior year quarter, driven primarily by lower inventory levels coupled with lower LIBOR rates. With respect to capital deployed this quarter, we exercised our purchase option on the Park Place properties, utilizing approximately $33 million of our cash on balance sheet with the remainder $184 million financed through a mortgage facility. In addition, we spent approximately $15 million on capital expenditures, and we've repaid approximately $9 million of debt. Also in planning for our new Plano Acura site, we sold and leased back our Plano Acura facility, resulting in incoming funds of $4 million net of its mortgage payoff. As a result of our operational performance, our balance sheet remains in a very strong position. And we ended the quarter with approximately $576 million of liquidity comprised of cash, floor plan offset accounts, and availability on both our used line and revolving credit facility. Also, at the end of the quarter, our net leverage ratio stood at 1.6 times, well below our targeted net leverage of three times. As we look forward to the remainder of 2021, we anticipate similar conditions to what we've seen this quarter. New vehicle inventory supplies are likely to remain low and unpredictable through at least the end of the year. Overall, as we did in Q2, we're still planning to a $16 million SAAR environment, that will keep our business nimble and flexible with an emphasis on gross margins, and SG&A expense management. One ship with highlighting is that, as the economy opens up more, we expect our parts and service business to return to its historical growth rate. In closing, I would also like to thank our teams across the business who continues to work tirelessly during this unprecedented time to ensure our current and long-term success. This concludes our prepared remarks. We will now turn the call over to the operator and take your questions. Operator.
Q - Rick Nelson: Thanks team and congrats on another solid quarter. David I'd like to ask about the acquisition environment, if you've got $400 million now in LOI, if you could speak to the pricing that you're seeing there in this additional $8 billion that's in active discussions, how is that the pricing like there?
David Hult: Rick thanks for the question and good morning. It's really mixed. As you can imagine, there's a lot of different sellers out there right now that would like to work multiples off of COVID earnings. And the key from our perspective is to have a blended look at it and stay disciplined on our approach. So I would say it's a little bit all over the board. We've probably in the last six months walked away from $3 billion or $4 billion in business because we just didn't feel like it was priced appropriately. We feel very confident about the $400 million under LOI as far as the locations and brands and how they fit into our portfolio and the other $8 billion that we're assessing right now it's actually closer to nine. It's the same thing. They're a little bit larger in size, so it's a little bit longer conversations and they're a little bit slower to proceed. So still up in the air and what the multiples will be for there, but what we have under LOI we feel really confident with where we've landed.
Rick Nelson: Thanks for that. So, I mean, I'm sorry, I can appreciate you don't have a lot of visibility as to when the suppliers will normalize from the current 17 days. But when things do normalize, do you think the OEMs will run tighter on inventory than they have in the past or do they go back to their prior bad habits? It seems as everybody is more profitable in a tighter supply environment?
David Hult: Rick it's a great question. And one that I certainly done all the answer too, I would say they've done a fantastic job at managing the chip shortage and really trying to produce vehicles that consumers want to purchase. And we're very thankful for that in the partnerships. Now there is a lot of talk internally with the manufacturers about operating in this environment. I'm hopeful that when things normalize, we don't quite settle back in at the 70-80 day supply, we've run a good 20 days below that. Too early to tell, I think next year is going to be a strong year for retail automotive and then we should start to see a lot of electric vehicles come into the market soon after that. So interesting times, as you look forward, even with that coming back a little bit, I think you look at the transactions that are taking place online and how that'll grow over time. There's still some opportunity with SG&A, even if those margins come somewhat closer to pre COVID numbers.
Rick Nelson: You mentioned electric vehicles, do you think overtime that the OEMs with EVs that they start going direct to consumer and how do you think that impacts the traditional dealers like Asbury?
David Hult: Sure, we feel that the best model of supply to the consumer is through the dealer franchise system. These cars are very complex, people need to be able to communicate locally. And I think we're in the perfect position to do that, it's a very mature system. The dealer body is embracing and welcoming electric vehicles and certainly invests making a lot of investments in training and equipment and material. So, we feel really strongly about the future for the franchise model, especially with the online transactions that are coming. I think the direct to consumers is really all about the online transaction and as the franchise dealer adapts to that it seems like a winning model.
Rick Nelson: And if you could speak to overall profitability of a Clicklane sale compared to an in-store sale. Take the F&I attachment, how does outlook relative in-store overall profits?
David Hult: Sure, the front end margin on Clicklane right now in the quarter ran about $250 to $300 below the store average. And the F&I was mixed, it was a little bit higher on used F&I and a little bit lower on new, but averaged out similar. We're really happy with the growth rate of Clicklane with the sales and the adaption. And we're the smallest public out there and you heard we're on pace with 30,000 sales, and you've heard some of our peers. So we're excited about the direction that we're going in. And again, these are 30,000 sales that were 100% completed online, 9 out of 10 people are getting financed, 8 out of 10 are being done automatically, if you will, instant approval of the 35 lenders, a little over 18 of them have instant decisioning, so they're getting their answers in 45 seconds, which is really fast. And now that we have a good handful or I should say a dozen banks accepting DocuSign, it's making it that much more convenient as well. So very optimistic, it's going to continue to grow and we see good upside and opportunity with our partnership with Salty as well.
Rick Nelson: Thanks for all the color, good luck.
David Hult: Thank you, Rick.
Operator: Thank you. Our next question comes from John Murphy with Bank of America.
John Murphy: Good morning, everybody. David just on the inventory shortage, I'm just curious what you're seeing on vehicles in transit coming in the next month or two. I mean, it just seems like the inventory is crunching a little bit tighter, I mean saying there's volatility and unknowns just kind of quote for - it's getting a bit tougher. And I'm just curious what you're seeing and how you're going to handle what seems to be a tightening situation on the vehicle side, which is actually crunching sales in the July plus period?
David Hult: Sure, John. I'll start and then Dan can jump in if he wants. We came into this quarter anticipating July and August to be probably the toughest month for availability, in the sense of what the demand is going to be relevant to what we're received. What we're experiencing so far and July is just that. Again, the manufacturers are doing a great job with what they have and producing vehicles and getting them out to us. But it's difficult, I mean, the demand is high right now and we anticipate this quarter to be pretty tough. I don't know about September, you get some seasonality adjustment after Labor Day. So we're hopeful that we'll see an incremental increase in day supply as we go into the fourth quarter, but well behind where we anticipate we should be.
Dan Clara: The only thing I would add to that, John. Good morning, by the way. Is, we have July and August is what we expected it to be the lowest months. But also to David's point, the good job that the OEMs are doing, building the inventory that the consumer wants, it's also allowing us to be very good at selling on order vehicles and delivering them as soon as they're hitting via the lot. So a lot of benefits of that, our return rate are very high and we'll just continue to navigate throughout the next two months and we know that we have the support from the OEMs on shipping of the inventory.
John Murphy: That's helpful. And I mean, when you think about backfilling for this, I mean, is there enough used inventory to which you can transfer some of these customers over for are you finding that consumers are willing to wait, in sort of, in some cases, an indeterminate amount of time for the vehicle that they want? I mean, what's sort of the capture rate on the used side? And is that used inventory even available to kind of make that kind of push to the consumer?
David Hult: Yes, the great question. The inventory, although it's a little bit harder to find but it is available out there. And the great news is, like I mentioned earlier, we do have a pretty good amount of sold orders coming our way and the biggest stream of inventory for our used car department is coming from the trades. And then we also have specific items that are only available to the body first come first serve, which will be your least turnings and also some of the loaner cars as well. So our consumers willing to wait for the vehicle of their choice? Yes, we're seeing a lot more patience from the consumer standpoint, waiting an additional few weeks for the car of their choice is definitely not an issue. And again, that goes back to what I stated earlier, it allows us to really have a very high turn rate when those new cars come in.
John Murphy: And can you pre-sell that used as well because you know what's going to be coming in and trade, I mean, can you work that deal ahead of time? Is that something that's possible?
David Hult: Yes, we can definitely. Yes, to answer your question is yes, we can market for lack of a better term on a retail standpoint, we can market sold to the consumer, but we're not able to process any of the paperwork until the mother deal or the first deal is completed.
John Murphy: Got you. And then if you think about the SG&A to gross, I mean, obviously, you're getting the benefit of very high grosses, but you're also clearly executing well, so it's a combination of the two. I mean, if we step forward into a normal period, let's say hopefully, in 2022, how much of this front-end yield, do you think you can hold on to. And at the same time, how much of the SG&A savings do you think you can hold on to? I mean, obviously, there are a lot of variables in that equation or in that question. But when you think about things, normalizing, I mean, north of 5000 on front-end yield is $1500 to $2,000, higher than we would typically think about this stuff, and SG&A to gross is, 10 points lower than we typically think about this stuff, you know, even you know, I mean, that's maybe even a little bit better than that. How should we think about those two metrics going forward in a normal state, which is tough to answer?
David Hult: It's a great question, John, and I'll try to answer as best I can. As we sit here today, I think we're a different company than we were pre COVID, both in the expenses that we cut and the brand mix that we have being almost 50% luxury. So I think post COVID to use that term 2022 and forward will float well above our past margins pre COVID and we see opportunities with SG&A going forward through our digitization of our sales online. So while margins may fall back a little bit, not back to where they were, but lower than where they are today, we believe there's upside and expense down the road. So we think we're in a very healthy position to still create strong returns low SG&A and great operating margin.
John Murphy: Okay. And then just lastly, on the five year plan, I mean you're saying you're running ahead. If we strip out the pressures of the market dynamics, the moment, it's hard to disagree with and you're assume like you're probably running on execution basis well ahead of playing Clicklane is firing fairly well. I mean, how do you think about reassessing the five year plan and maybe giving us an update, or where do you think that will ultimately land? I mean, how should we think about that, because that's now just given your performance, not necessarily time, but just given how well you perform, it seems a little dated?
David Hult: John it is a fair point. But I would also respectfully say patience is tough in these markets, we're only six months in, I would say, depending upon how the chips fall on the M&A side the next few months that could certainly warrant an update. Our same-store revenue is probably best to reassess when we hit the 12 month period. We're well ahead of that $2 billion target at this point in time, but we also don't want to get too far ahead of our skies and lead 12 months to normalize to kind of see where we're at. But to your point, I understand that, where we sit here today, what we have under LOI, what we're looking at the potential there too far exceeded is there, but I really don't want to get ahead of ourselves, because it's not in the banks, so to speak.
John Murphy: Got you. Okay, thank you very much, guys. I appreciate it.
David Hult: Thank you.
Dan Clara: Thank you.
Operator: Thank you. Our next question comes from Adam Jonas, with Morgan Stanley.
Adam Jonas: Hey everybody, can you hear me?
David Hult: Sir can. Good morning.
Adam Jonas: Oh, great. I might have missed this. Did you actually disclose how many units were sold on Clicklane?
David Hult: No, Adam we didn't. But I'll tell you, it was just under 4500 units in the quarter.
Adam Jonas: Okay. Thanks for that. And I don't know of the 4500 how many would you say were kind of fully, like digitally fulfilled, kind of, sorry, I'm sorry to use the word, but Carvana ask if you will and I know they're not. You know what I mean like, what you would describe is the most digitally fulfilled of the 4500?
David Hult: Yeah, we quote that number different than push start because push start was more of a semi completed online and completed in the store. And I'm going to use the round that a 4500. Their work 100% completed online, in the sense of it was paid for signed up. When we pull credit on Clicklane, they're hard pulls on the credit. They're instant approvals are real. The payoffs are done in the signage through DocuSign. Now, if they pick a lender and they sign up everything in DocuSign, and it's a lender that doesn't accept DocuSign then we're presenting some new documents on delivery. If the bank accepts DocuSign, it's all said and done, and payment online as our Stripe [ph] relationships that we have. So they're all completed online, there's nothing additional coming in. If they start on Clicklane, and then they come in the store and finish it that is not a Clicklane sale to us.
Adam Jonas: All right, appreciate the color, David. And just finally, Dave, from your experience, what can you say about the parts and service profile, or the revenue derived from parts and service and maintenance, et cetera. On the EVs coming into your bays versus the ICE equivalent vehicle? I didn't know if there was - I realized the numbers are still small, but the Park is growing geometrically and you'll get more and more of these units. I'm just curious what color you can give us?
David Hult: Sure. Every quarter, we kind of look at service in three different buckets and we can't control warranty and internal is what it is. So we focused on customer pay. So from that standpoint, the three buckets are combustible engine, hybrid cars, and then EV or completely electric cars. And this is going to change. But right now, in the last few quarters, it's very consistent that the highest dollar spent on electric vehicles. And I think its first generation technology, there's a lot of software glitches and issues with that. We think that will change over time. But we're also of the belief that our service retention will go up double digits because that consumer will have to come back to us for service because of the complexity with the vehicle. So we're very excited and bullish on electric vehicles and where we're going, we're already working on them in our collision center. We certainly we're touring last week and several of us stores there's not a lot of EV cars in there for maintenance. So we think we're well positioned than, I think over time, the dollars will come down, but they still need brakes, batteries, - brakes and everything else tires that go along [multiple speakers].
Adam Jonas: Mini battery is good.
David Hult: We have actually already replaced some of those batteries. So when I brought that up it is true, but the oil change in that sense combustible engine cars are made so well nowadays, there really isn't a whole lot of breakdown, and there's really no money to be made in oil changes.
Adam Jonas: I appreciate the extra color there. Maybe I can slip one more in. Are the OEMs that are using franchises to distribute EVs, are they coming to you with a bit more stringent, if you want to be the authorized retailer of the Hummer or electric car or whatever it might be that you need to make investments in people can technology, diagnostic software, et cetera, at the point of service and sale in order to get authorized. Are you kind of seeing that I would imagine that could play to your advantage to versus a lot of the mom and pops?
David Hult: We do see that and we've made a lot of investments already and we'll continue to make more investments both in physical training and equipment. But naturally, that would be a requirements from the OEMs as you'd expect, if you're going to have the opportunity to sell the vehicle, you certainly have to be trained and have the equipment to work on the car as well.
Adam Jonas: Thanks, David.
David Hult: Thank you very much.
Operator: Thank you. Our next question comes from Rajat Gupta with JP Morgan.
Rajat Gupta: Hi, good morning. Thanks for taking the question. Just had a follow-up question on Clicklane. The 30,000 units that you mentioned for the full year 2021. If we exclude Clicklane units from the overall business, with the same-store units still be up for 2021. Just trying to get a sense of how much of the units being sold on Clicklane is incremental, what your existing business would have done either way? And then I had a follow-up. Thanks.
David Hult: Sure. Its Dan stated in his script, 93% of the Clicklane customers were new to Asbury, so we hadn't sold them a vehicle before. We think that number will change over time. But it's a new tool and its 4500 sales in the quarter. I can tell you in the quarter, it was growing at a little bit over 20% a month, from April to May and May to June and we're continuing to see that growth in July. So it's just a logical, full transactional tool. They're not softballs on credits, there's no issues with the lending, we do have 35, but only about 18 of them have instant decisioning and only a dozen of them accepting DocuSign. So still we have progress to go there. But between instant decisioning and the banks that do accept DocuSign, it's a very seamless transaction. And logically if you can do the transaction 14-15 minutes at home, have it delivered to your house, why would you sit in the showroom for two hours. And I would tell you for the for lack of a better term nationally in the quarter, the country opened up traffic and everything got back to normal, yet the home deliveries went up 15% over the prior quarter for 65%. So we certainly see the benefit and our consumers are seeing the benefit in the tool.
Rajat Gupta: Got it. So you're saying in that 30,000 target that you had for full year for Clicklane and used combined. I mean, on a run rate basis, it seems like almost 15% of your units overall and all of that is like incremental to the business basically, or produce the majority of that. And the in-store business can also grow simultaneously. Is that fair to you?
David Hult: It is fair. Again this tool is new, so, there's the 93% stick for the next three quarters, the next three years, I couldn't give guidance on that. I would just logically say that tool is going to continue to grow as awareness gets out there and there'll certainly be incremental sales. It's a little challenging right now with low day supply to see what you could really sell, it's hard to sell something online you don't have. And you have the sophisticated sales professionals that we have in the store that are selling deep into the pipeline, meaning well before these cars arrived.
Rajat Gupta: Got it. Great thanks for the color there. And just had a question on just the employee headcount, just following-up the SG&A productivity question. What's the current employee count of the company, could you remind us including Park Place, where do we stand today, taking into account like some of the layoffs that you had last year?
David Hult: Just over 8300 associates currently on staff.
Rajat Gupta: Got it. That's helpful. And just one last one on parts and services, really nice recovery there in the second quarter, customer paid particular, you mentioned last month are having some forward supply shortages, which was hoarding warranty. Could you give us a sense where we are there, how do you see that coming back and did we expect this kind of growth rate that you saw on to your thumb basis, continuing here in the third quarter as well? Thanks.
David Hult: Sure. We absolutely expected the parts and service numbers to continue into the third quarter that we're currently seeing. Some of it is, people have been sheltering in place for a year, and they're just catching up on maintenance from the car seating. And some of it is planning trips for the summer and doing different things like that. So we anticipate a very strong summer for parts and service. As far as the parts business, again, the OEMs are doing a really great job, it's hit or miss and we certainly do have some parts issues with some brands. But overall, I wouldn't say it's materially holding us back at this point as a company.
Rajat Gupta: Got it. Great, well thanks for all the color and good luck.
David Hult: Thank you. Take care.
Operator: Thank you. Our next question comes from Stephanie Moore with Truist.
Stephanie Moore: Hi, good morning. Thank you for the question.
David Hult: Good morning,
Stephanie Moore: I wanted to touch on your Clicklane platform again and if you could kind of give us an update on where we stand on marketing the platform and your existing territories, as well as some of your plans to expand the platform into some territories that are not legacy Asbury market? So any update, there would be helpful. Thank you,
Dan Clara: Sure, Stephanie, Right now and I'm sure it's the same for all our peers. I don't think anyone is spending a tremendous amount of dollars on marketing simply because the inventories are so light, you're marketing to some you can't sell. So I think we'll keep the marketing dollars governed right now until we can see inventory return. To your point about entering a market on the pre-owned side that we don't currently occupy brick and mortar. We absolutely intend to do that that is part of our omnichannel approach that is part of our SG&A benefit. We think we can do it more efficient, faster, and retain more dollars by doing it this way. I would say somewhere towards the end of the year beginning of next year, you'll see us enter into new markets on the pre-owned side.
Stephanie Moore: Great, thank you so much. That's it for me.
Dan Clara: Thank you.
Operator: Thank you. Our next question comes from Bret Jordan with Jefferies.
Bret Jordan: Hey, good morning, guys.
David Hult: Good morning.
Bret Jordan: On the Clicklane did you talk about I guess 93% new customers, could you talk about geographic reach now how far are you sending these cars out and I guess you said 65% home delivery? Is there a Dixie cup circle that you're working in that you can't go outside of and I guess the same kind of question on new vehicles, is there any restriction as far as selling cars in markets where you don't own franchises?
David Hult: Good morning Bret. Great question. To your point, I mean, 65% of our consumers are electing to take delivery at home. We're not advertising outside of our primary area, for lack of a better term, we stay in and abide by all the OEM rules when it comes down to that. We have seen - the vast majority of our in home deliveries that we're seeing is taking place, I would say probably around a 50 mile radius. But we have seen deliveries that have for lack of a better term that have gone from Greenville, South Carolina to Texas and from Georgia to Florida, so we have seen that as well in several locations.
Dan Clara: I would tell you Bret just to follow-up on that. Being a franchisee we have a third of store in Atlanta we can't market Toyota's in Chicago or New York. However, we spend a lot of money optimizing our sites and if people find this in other states, and they choose to buy a car from us and ship it up, we certainly do that. But we're we very much adhere to our relationship and our policies with the manufacturer.
Bret Jordan: What do you think, I guess do you have an average distance that your buyers coming in from for the Clicklane?
David Hult: Yeah, I would say in the quarter, and no others have quoted some long distances, we're under 75 miles is 80% of our business. And we actually think that's a great thing because we don't want to just sell the car, Carvanas model is great, selling the car making some money in the front and back. But the parts and service business is really worth that. So in a perfect world to us is doing that transaction online locally and having them do the maintenance with us.
Bret Jordan: Okay, and then one final question, I guess, on the used inventory. Could you give us the percentage I guess that you're sourcing in-house versus auction?
David Hult: Yeah, absolutely, Bret. So, less than 10% of the cars that we acquired in Q2 were acquired at the auction. The rest of it, like I said, the vast majority of it comes from trades, least turn in, loaner cars, and also acquisitions at the store level through consumers.
Dan Clara: And I would tell you, that's a credit to the other general managers in our stores and the used car managers, pre COVID, we've been very disciplined and not buying more than 10% of our cars from auction. You get in that bidding process, you walk away with cars, no one paid more than you. Margin nowadays is about the acquisition price. So they're tremendously talented at sourcing local vehicles direct from consumers and trade ins and the service drives and loaner cars and other things, which is getting us the healthy margins that we're seeing.
Bret Jordan: Thank you.
Operator: Thank you. Our next question comes from Ryan Sigdahl, with Craig-Hallum.
Ryan Sigdahl: Good morning, guys, and congrats on the strong results.
David Hult: Thank you.
Ryan Sigdahl: Just one follow-up question from us. So Asbury, looking back two decades ago, when you have IPO, do you have a similar number of stores a few more today. But you've spent, you've done a decent amount of rationalization, divesting, adding kind of offsetting each other. I guess, one, how do you feel about your current store base today, is there more rationalization that's needed? And then two, given the importance of scale and really a nationwide footprint and you mentioned kind of the close proximity even on Clicklane for those customers. I guess why not accelerate that M&A cadence to really build scale faster? Thanks.
David Hult: It's a great question. We're one of the smaller companies and there's only so much capital to deploy and so much leverage that we're willing to take on. The other thing that I would say in just doing this for 35 years, and mostly as an operator, running and integrating stores that people above me a purchase, it's a lot easier to buy things than it is to run it. We think that we're the healthiest that we've ever been from a brand mix. We really like the platforms that we have the states that we do business in and the leadership that we have in the fields because that's where the results are happening, they are not happening here. We're disciplined, we're going to be thoughtful. We do have the $400 million under LOI, we are looking at more. But we're also not getting enticed by just the revenue number, we're really saying, is this going to be a good part for us going forward? And is this something that we can integrate well into our system and continue the synergies that we have, we have the highest operating margins and lowest SG&A in this space and we're proud of that and we're not the biggest. We think we can keep those two credits as we continue to grow the company thoughtfully. As far as expanding in every market everywhere, I don't know that that's our goal, it truly isn't. Our goal is to kind of, for lack of a better term skate to where the puck is going. Not every market is maybe ideal or perfect for us. We want to grow thoughtfully in the markets, we want to be in and be dense and have meaningful relationships with our consumers through service retention and market share within the markets we do business in. You'll see us expand in new states for sure. But the goal isn't to be in every state. Are you there, Ryan?
Ryan Sigdahl: That's it for me. Thanks guys, just had the one. Good luck.
David Hult: Thank you.
Operator: Thank you. We'll take our last question from David Whiston with Morningstar Equity Research.
David Whiston: Thanks. Good morning. I guess first on that you're talking about how great DocuSign is and I certainly agree with you, but as of today, there's still states that require a wet signature?
David Hult: Oh, absolutely. Especially on the DMV side is actually only if couple of states that are digital in the DMV, and there's many more in process right now, Virginia, the bulk of your documents are more to do with lending, and the vehicle and trade and vehicle itself. So there are some documents to your point that we have to redo. The way we've designed Clicklane, regardless of what the state requirements are, every single possible form is in Clicklane and every single form is signed through DocuSign. There are two main reasons for that, even though we're redoing them. One, we want the customers visualization to go through the entire process and see all the documents no surprises on delivery, for lack of a better term. And then their awareness of the transaction, the numbers that take place. So when we go to again, 65% of time, when we're delivering the vehicle to home, it's a very smooth transition to the few signatures that we may need, in some cases, one or two, or in other cases, maybe six, it just really depends upon the state. But to us, it's the experience, people create the experience software creates the convenience, and that's where we're focused.
David Whiston: Okay, so any document that does require a wet signature when you actually see the customer, regardless of where the customer is, that's when they actually physically sign that piece of paper, correct?
David Hult: Yes, again, if Georgia requires the word signature on a DMV form, they're signing that form on DocuSign, so they can visually see it. But then when we show up, they're going to sign that DMV form, again, with a wet signature.
David Whiston: Okay, yeah, that makes sense. On the 65%, home delivery, was that just Clicklane or the entire company?
David Hult: That was just Clicklane. It was single digits for regular store.
David Whiston: Okay, and the Biden administration is talking about possibly raising the Federal tax rate, I know you're in between CFOs. But can you comment on the Federal statutory increase would be a one for one increase in your own tax rate?
David Hult: Really haven't looked at that yet, to be honest with you David, so I couldn't comment on it.
David Whiston: Okay, and I guess just one more question on the domestic GPU over 4000 unit, obviously, it's probably inflated a bit due to the inventory situation. But was there just a total massive decline in discounting this quarter or is mix playing a role there too?
David Hult: The margins that we're seeing, it's all related to the - while a lot of it is related to the lack of inventory. It's a supply and demand equation and the level of discounting that you're seeing right now, is very, very, very minor, if any, at all, just because again, just a simple supply and demand equation.
Dan Clara: But I'd also tell you, it's a little deceiving, because those numbers could actually be higher. Our lack of truck inventory on the domestic side is significant and that's really harboring or governing ourselves if you will on that side. But if you go pre COVID, we've always had healthy, generally healthy PVRs on our domestic vehicles.
David Whiston: And speaking of trucks, do you have any feedback from customers on really interests me F-150 Lightning?
David Hult: Yeah, I mean, there's been a lot of positive reaction, as you would imagine. There's also not only excitement from the consumers, but also within the stores that represent that truck. We're excited about the EVs that are coming. We've had the opportunity to drive and see a lot of them and some really impressive vehicles coming down the road, so exciting times.
David Whiston: Yeah, I agree. Thank you.
David Hult: Thank you very much.
David Hult: This concludes today's discussion. We appreciate your participation and we look forward to speaking with you in October. Have a great day.